Operator: Good morning. My name is John, and I will be your conference operator today. As a reminder, this call is being recorded. At this time, I'd like to welcome everyone to Timken's Fourth Quarter Earnings Release Conference Call. All lines have been placed on mute to prevent any background noise. After speakers' remarks, there will be a question-and-answer session [Operator Instructions]. Thank you. Mr. Hershiser, you may begin your conference.
Jason Hershiser: Thanks, John. And welcome, everyone, to our fourth quarter 2018 earnings conference call. This is Jason Hershiser, Manager of Investor Relations for the Timken Company. We appreciate you joining us today. If after our call you should have further questions, please feel free to contact me directly at 234-262-7101. Before we begin our remarks this morning, I want to point out that we have posted on the company's Web site presentation materials that we will reference as part of today's review of the quarterly results. You can also access this material through the download feature on the earnings call webcast link. With me today are the Timken Company's President and CEO, Rich Kyle and Phil Fracassa, our Chief Financial Officer. We will have opening comments this morning from both Rich and Phil before we open up the call for your questions. During the Q&A, I would ask that you please limit your questions to one question and one follow-up at a time to allow everyone an opportunity to participate. During today's call, you may hear forward-looking statements related to our future financial results, plans, and business operations. Our actual results may differ materially from those projected or implied due to a variety of factors, which we described in greater detail in today's press release and in our report filed with the SEC, which are available on the timken.com Web site. We have included reconciliations between non-GAAP financial information and its GAAP equivalent in the press release and presentation materials. Today's call is copyrighted by The Timken Company. Without expressed written consent, we prohibit any use, recording or transmission of any portion of the call. With that, I would like to thank you for your interest in The Timken Company, and I will now turn the call over to Rich.
Rich Kyle: Thanks, Jason. Good morning everyone. And thanks for taking the time to joining us today. We posted another good quarter with revenue up 17%, earnings per share up 47% and EBIT margins up 250 basis points from the fourth quarter of 2017. Organic growth in the quarter remained robust at 9% year-over-year as we continue to capitalize on growing end markets, as well as deliver on our outgrowth initiatives. Tariffs and costs were headwinds, which we slightly more than offset through pricing and cost reduction initiatives. Inorganically, we grew 10% in the quarter with our recent acquisitions contributing at the EBIT margin level slightly higher than the company average despite the incremental amortization. Fourth quarter capped what was an excellent year for Timken. We moved the needle on all three facets of our strategy to outgrow our markets, drive operational excellence across the enterprise and create value for the generation of cash and the effective deployment of capital. Strategy is working and our progress continues. After growing revenue by 13% in 2017, we delivered another 19% revenue growth in 2018 with 13% of that being organic. Our organic results continue to run ahead of industry averages, fueled by our mix and our pipeline of outgrowth initiatives. We remain focused on differentiating our products, innovating with our technical and application capabilities and providing world-class service to bring our customers the best value for their bearings and power transmission needs. As a result, we are winning with OEMs. We are winning with end users through our distribution network. And we are expanding the diversity RFEs around the world. We continue to lead in our traditional Timken markets such as mine, metals, agricultural and rail, and we are strengthening our position in newer Timken markets, like wind, solar, automation and food and beverage. We expanded EBIT margins by 300 basis points for the full year to 14%, and our operational excellence initiative was a key drive of the improvement. It was a dynamic cost year with unplanned tariffs and tight global labor and supply markets, but we more than offset the cost increases and we've responded to the 13% organic demand increase efficiency. We managed pricing well and grew share while recovering cost increases through pricing actions. We continued to advance our footprint initiatives, effectively ramping up our two new plants in Eastern Europe and our other capacity expansions around the world. We do have lean and productivity enhancements across all of our operations, and we lowered our SG&A as a percentage of sales by 100 basis points by increasing efficiency across the enterprise. Our customer service was industry leading and the quality of products remained outstanding. Overall, our execution was excellent. 2018 was also a very active and effective year for capital allocation. We ended the year with the solid balance sheet despite coming up short of our expectation for full year for cash flow. We remain highly confident in the cash generation of the company, and we will deliver a significant increase in free cash flow to 2019. This fifth consecutive year, we increased our full year dividend payout. We repurchased $2.3 million or approximately 3% of the outstanding shares. We invested $113 million of CapEx into the business, which will yield revenue and margin benefits in 2019 and beyond. And we completed three sizable acquisitions. Our acquisition strategy is to strengthen our portfolio and mix the company up in regards to growth and margins, all while meeting our return hurdles accretion in year one and cost of capital by year three. All three of our 2017 acquisitions Torsion Control Products, PT Tech and Groeneveld performed ahead of plan in 2018 and contributed to our record earnings per share, as well as our margin expansion. More specifically, they contributed approximately $0.20 to our 2018 earnings per share. Our three acquisitions from 2018, Cone Drive, Rollon, and ABC Bearings, have been in the portfolio a little more than one quarter and are already positively impacting our results. The management teams are in place, the businesses are growing. We're generating cost and revenue synergies and we like what the businesses do for both our product and our market mix. We have a stronger package today in the marketplace as a result of these acquisitions. To highlight an actual synergy from our M&A, in 2018, we converted approximately $200 million of acquired revenue to our Timken digital platforms. As a result, we have better operating systems to run the plants more efficiently. We have increased our visibility and accountability to drive cross selling. We have enhanced our ability to serve common customers, improved our pricing analytics and identified new opportunities to drive down purchasing as well as SG&A costs. That's just one small example of the value potential we're driving. Overall, 2018 was an excellent year for Timken. The successful execution of our strategy increased our full year 2018 return on invested capital 12.8% and our earnings per share by 59% to a record $4.18. Turning to 2019. We will continue to pursue growth, while balancing that pursuit with our drive for margins, return and cash flow. We're playing for another year of growth with revenue up about 10% before the impact of currency and then split roughly evenly between organic and inorganic. I'll break down the 4% to 6% organic in the four buckets: price, outgrowth, mix, and in-market demand. Starting with price, we expect 2019 pricing to be similar in magnitude to what we experienced in 2018. We do expect costs be up again in 2019 from tariffs, material and labor. Cost savings will partially mitigate these increases and then pricing will slightly more than offset the rest. Like 2018, we expect full year and each quarter for price costs to be positive and to contribute modestly to margin expansion. Over one half of our expected 2019 pricing is either carryover from 2018, is already negotiated for 2019 or is already announced in our distribution channels. So we feel very good about the positive impact of pricing and that's regardless of how the market demand dynamics play out through the balance of the year. Next is outgrowth, in our industries market shares generally one slowly and not in big increments. We target about 1% per year. As demonstrated in our results, we've been winning over the last couple of years and we will win again in 2019. Again, similar to price, there will be some carryover. There’ll be some new programs that we have already won that we'll be ramping up during the year and there is some yet to be captured in 2019. Moving onto market mix, our market mix, both geographic and end market is setting up very well for us in 2019. We're skewed to North America, which is a strong and growing market. The recent ISM numbers were strong, employment remains tight and manufacturing is growing, all of which are good signs for Timken. There are concerns around global automotive, particularly in Europe and China. We are a niche supplier to the auto industry with our mix skewed to North American white truck and global premium pass car markets. While we don't expect growth in those markets in '19, they also are not contracting. China consumer is showing signs of weakness, which is impacting on highway vehicles, but wind is our largest end market in China, and we expect strong growth in that market to more than offset weakness in autos and trucks. Process industries and distribution markets are strong, which relative to mobile is good for our overall corporate mix. And in many of our off highway and rail markets remain off of historical peaks, and are continuing to expand nicely through the first half of 2019. Finally, I'll cover our outlook for end markets. Slide 9 lists some of our major markets and geographies with our outlook for the year. The middle column represents minus 2% to plus 2%. Next column mid single-digits being around 3% to 6% and then the right column being expected growth of 7% or more. You can see that we do not have any markets expected to be down more than 2% for the year, which is helped by our customer, market and geographic mix, as well as our outgrowth. We don't expect as many double-digit and plus 20% markets as we experienced in '17 and '18, but we do we believe we will see positive organic growth through the year. As those who follow us know, we have reasonable visibility into most of our demand three to six months out. So while we don't know if these estimates will hold for the full year. What we do know is that we just grew 9% organically in the fourth quarter. Our backlog is up from where it was a year ago. We were up solidly in January. We have price increases in place for the full year of 2019. And with two months left in the quarter, we expect first quarter organic revenue growth above 5% before currency. Bottom-line is that based on what we're seeing, we're going to start the year strong. And then we expect organic growth to continue into the second half. So we've built our plans around a very good start to the year followed by normal seasonality, which would be a modest decline in sequential revenue and earnings from the first half to the second half, similar to what we experienced in 2018. And then we're also expecting over 5% top-line growth, as well as earnings accretion from the 2018 acquisitions. Under the market and revenue assumptions shown on Slide 9, we're going to record earnings a $4.80 at the midpoint, margin expansion of around 100 basis points to 15%, including getting to around 12% margins in mobile for the full year and the generation of over $300 million in free cash flow. Our first priority is for capital allocation in 2019 will be CapEx and the dividend. After those, we do remain active in the M&A market. But at this time, we would expect any 2019 transactions to be smaller than 2018. And absent M&A, we will have a bias to debt reduction versus buyback to start the year and then we will continue to update you on our plans as the year progresses. In summary, our strategy is working and we are executing well. As demonstrated in our 2018 results, we are going to start 2019 strong. And then we're forecasting new levels from record performance for full year. I'll now turn it over to Phil to take us through the financials in more detail.
Phil Fracassa: Okay. Thanks Rich and good morning everyone. For the financial review, I'm going to start on Slide 14. Timken capped an excellent 2018 with strong performance again in the fourth quarter. And you can see a summary of our results on this slide. Revenue came in at $910 million, up 17% from last year. Adjusted EBIT margins were 13.5% of sales, up 250 basis points year-on-year. And adjusted earnings came in at an even $1 per share, up 47% from last year and a record for the fourth quarter. Turning to Slide 15, let's take a closer look at our fourth quarter sales performance. We delivered organic growth of around 9%, reflecting continued strength across most end markets and sectors, plus the benefit of our outgrowth initiatives and positive pricing. Acquisitions added just over 10% to the top line. This includes the Cone Drive, ABC Bearings and Rollon acquisitions, all of which closed in the third quarter. And currency translation with negative in the quarter by around 2% due to a stronger U.S. dollar. Sequentially, sales were up 3% from the third quarter as a result of the acquisitions, offset partially by seasonally lower organic volume and negative currency. We also had two less shipping days in the U.S. in the fourth quarter as compared to the third. On the right hand side of this Slide, we outline organic growth by region, so excluding both currency and acquisitions. You can see that all regions were up in the quarter organically. Let me touch on each region briefly. In North America, our largest region, we were 8% with most sectors up in the quarter, led by growth and distribution, general and heavy industrial and aerospace. In Asia, we were up 13% as we saw continued strength across most sectors, led by distribution rail and off highway. In Europe, we were up 8% with notable gains in the rail, wind energy and general and heavy industrial sectors, offset personally by decline in heavy truck. And in Latin America, we were up 8%, driven mostly by growth in distribution and growth in heavy truck. Turned to Slide 16, adjusted EBIT in the quarter was $123 million, up from $85 million last year. Adjusted EBIT was 13.5% of sales in the quarter, up 250 basis points from a year ago. The increase in EBIT was driven by higher volume, favorable price mix and the benefit of acquisitions, offset partially by higher material and manufacturing costs. This includes an impact of roughly $5 million in the quarter from tariffs. For 2019, we expect tariffs to negatively impact us by about $25 million in total. This is slightly lower than our prior estimate and is before mitigating tactics. With mitigating tactics, including pricing, we expect to more than offset the negative impact from tariffs in 2019. Let me comment further on a few of the other items. As I mentioned, price mix was positive in the quarter. Pricing was positive in both segments but with more in process industries. Mix was also slightly positive in the quarter with the strength in distribution. Price cost was positive for the fourth quarter and positive for the full year despite material cost inflation and the impact of tariffs. Manufacturing performance was unfavorable in the quarter as the benefits of higher demand were more than offset by the impact of lower production volume as we built inventory in the year ago period, resulting in less fixed costs absorption. Other manufacturing costs are up slightly as well. And finally, SG&A and other income came in roughly flat as we continue to control costs and leverage our SG&A cost structure as we grow. Excluding special items, SG&A expense improved 100 basis points year-on-year as a percentage of sales. On Slide 17, you'll see that we posted net income $60 million or $0.77 per diluted share for the quarter on a GAAP basis. On an adjusted basis, we earned $1 per share, up 47% from last year and a record for the fourth quarter. In the fourth quarter, our gap tax rate was 23.9%. Excluding discreet and other items, our adjusted tax rate in the quarter was 24.8%, down from roughly 30% last year. The lower fourth quarter tax rate brought our full year adjusted tax rate down to 26.5%, which is slightly lower than our prior estimate. For 2019, we expect our adjusted tax rate to hold at this level. Now, let's take a look at our business segment results, starting with process industries on Slide 18. Process industry sales for the fourth quarter were $448 million, up over 27% from last year. Organically, sales were up $47 million or about 13%, reflecting strength across the industrial markets, including distribution and the general and heavy industrial sectors, as well as the impact of positive pricing. Wind was up slightly in the quarter, while marine was roughly flat and services revenue was down slightly. Acquisitions added around 16% of the top line while currency translation was unfavorable by about 2%. Looking a bit more closely at the markets, in the distribution channel, the strength was broad based with all regions up year-on-year led by North America. In the general and heavy industrial sectors, we also saw broad growth across end markets and regions with notable gains in metals, oil and gas and industrial gear drives. Wind energy was up in the quarter with almost all of that in Europe. And finally, we had lower services revenue in the quarter due mostly to timing under the new revenue recognition accounting standard. For the quarter, process industries EBIT was $80 million, adjusted EBIT was $88 million or 19.6% of sales compared to $57 million or 16% of sales last year. The increase in EBIT was driven by higher volume, favorable price mix and the benefit of acquisitions, offset partially by higher material costs, including tariffs, as well as higher SG&A expenses. Process industries adjusted EBIT margins expanded 360 basis points year-on-year. Our outlook for process industries is for 2019 sales to be up 13% to 15%. Organically, we're planning for sales to increase 6% to 8%, driven by growth in the industrial distribution, wind and heavy and general industrial sectors. Industrial services revenue should be up slightly on the year and marine revenue is expected to be relatively flat. We're also expecting another year of positive pricing. We expect price cost to be positive for the year and for process industries to maintain adjusted EBIT margins comparable to 2018 despite the impact of purchase accounting amortization from the acquisitions, and to the new bearing capacity coming online in Asia. Now, let's turn to mobile industries on Slide 19. In the fourth quarter, mobile industry sales were $462 million, up around 8.5% from last year. Organically, sales were up $24 million or around 5.5%, reflecting growth in the rail, off-highway and aerospace sectors, as well as the impact of positive pricing. Automotive was up slightly in the quarter, while heavy truck was roughly flat globally. Acquisitions added 5% to the top line, while currency translation was unfavorable by about 2%. Looking a bit more closely at the markets. Rail was up in the quarter with growth in Europe and Asia, while North American rail was roughly flat. The outlook for rail freight car builds in North America remained strong as we entered 2019. The improvement in off highway demand was driven mainly by growth in the construction and mining sectors, mostly in Asia and North America. Our growth in aerospace was spread across both defense and commercial applications. And the higher automotive shipments were mainly in North America. Overall, demand in the automotive sector where Timken participates remained stable. Finally, heavy truck was roughly flat versus last year with growth in the Americas offset by declines in Europe. We had strong gains in heavy truck for the full year with OE sales up around 20% globally. In 2019, we expect Class A truck builds in North America to remain relatively strong. Mobile industry's EBIT was $43 million in the quarter. Adjusted EBIT was $46 million or 10% of sales, compared to $41 million or 9.7% of sales last year. The increase in EBIT reflects the impact of higher volume lower SG&A expenses and the benefit of acquisitions, offset partially by higher material and manufacturing costs. Mobile industry's adjusted EBIT margins were up 30 basis points year-on-year. Sequentially, mobile margins were down from the third quarter due mostly to normal seasonality, lower production volumes and some unfavorable mix. We remain focused on achieving 12% margins in mobile and we expect to get there in 2019. Turning to '19, our outlook for Mobile Industries sales is to be up 4% to 6%. Organically, we're planning for sales increase 3% to 5%, driven by growth in the rail, off-highway and aerospace sectors. Heavy truck is expected to be up slightly and automotive should be relatively flat. We expect positive pricing again in 2019 and for price-cost to be positive for the year. We're planning for margin expansion for the full year with adjusted EBIT margins of around 12%. Turning to Slide 20, you'll see that we generated solid operating cash flow of $138 million during the quarter, bringing our total operating cash flow to $333 million for the year. After CapEx spending of $113 million, free cash flow was $220 million in 2018 compared to $132 million last year. The increase in free cash flow reflects higher earnings, partially offset by increased working capital to support the higher sales. Looking at the fourth quarter a little more closely, free cash flow fell short of our prior estimate due in part to the timing of cash collections on accounts receivable at year-end. We should pick much of this back up in the first quarter. From a capital allocation standpoint, during the fourth quarter, we invested $50 million in CapEx. We are in the market and bought back over 900,000 shares, which coupled with our quarterly dividend resulted in a total capital return of $57 million in the quarter. You can see some full year highlights in regards to capital allocation at the bottom of the slide. CapEx was around -- was just over 3% of sales for the year. We allocated approximately $831 million to the Cone Drive, Rollon and ABC Bearings acquisitions, all of which are performing well. And we returned $148 million to shareholders through dividends and share buybacks. And we ended the year with net debt of around $1.5 billion or 48.5% of capital. When you pro forma our full year EBITDA for the acquisitions, net debt to adjusted EBITDA was around 2.2 times at December 31st. Looking ahead to 2019, we'll continue to invest in the business with CapEx at roughly 4% of sales. We're committed to our dividend and we will continue evaluate potential strategic acquisitions. We also have the ability to buy back stock, but in all cases, we intend to maintain a strong balance sheet. I'll now review our outlook with a summary on Slide 21. We're planning for 2019 revenue to be up 8% to 10% in total versus 2018. Organically, we expect sales to increase 4% to 6% driven by growth across most sectors, as well as the impact of positive pricing and our growth initiatives. As Rich mentioned, organic growth will moderate a bit as we feel the effects of tougher comps this year. We still see positive momentum and strong fundamentals in most of our end markets and our backlog supports our revenue guidance. In the first quarter, we expect organic revenue to be up both year-on-year and sequentially with strong operating leverage. The rest of the year should reflect normal seasonality with the second quarter being our strongest. Acquisitions made last year should add roughly 5.5% of the top line and we expect currency translation to be negative 1.5% based on December 31st exchange rates. On the bottom line, we estimate that earnings will be in the range of $4.55 to $4.75 per diluted share on a GAAP basis. Excluding anticipated net special charges totaling $0.15 per share, we expect record adjusted earnings per share in the range of $4.70 to $4.90, which at the midpoint of our guidance is up 15% from last year. The midpoint of our 2019 full year outlook implies adjusted EBIT margin expansion of approximately 100 basis points at the corporate level or around 15% for the year. And that's despite higher depreciation and amortization expense from the acquisitions. And finally, we estimate that we'll generate very strong free cash flow of around $300 million in 2019. In closing, the Timken team finished 2018 strong, winning in the marketplace and posting record adjusted earnings per share, and we remain well positioned to take another step forward in 2019. This concludes our formal remarks and we'll now open the line for questions. Operator?
Operator: Thank you [Operator Instructions]. We will now take our first question from Joe O'Dea from Vertical Research. Please go ahead.
Joe O'Dea: Just wanted to start on the '19 Outlook and just as we continue to hear about tremendous amount of uncertainty out there and just how you kind of gauge expectations in early February and thinking about within the guide where you see some kind of pockets of cushion, if you will, whether you think that's more on the revenue side of things based on the backlog, where do you think that's more on share price cost opportunities that you see here that are?
Rich Kyle: Well, I think there is certainly upside to the revenue outlook, I guess I would start there. I think coming off the 9% and we've got 4% to 6% for the full year. And as I said, we feel pretty good that we're going to start north of 5% in the first quarter and we're five-ish weeks already into that quarter. So we've got some tapering of growth in our outlook and I think that's prudent at this point to do. But certainly, I think there could be some upside there. We came in the last year guiding to we'd be over 100 basis points of price, we ended up a little over 150 basis points. We're looking at similar number this year. So I don't think there's probably quite as much upside to price, but it's going to be a good number, and I think we always have opportunity to improve on the cost side and the operating side. We've got a reasonable amount in there for outgrowth and usually those things are months and years in the works. So I don't think there is huge swing there from a market share standpoint. But certainly, I would say, we feel really good about first half of the year, really good.
Joe O'Dea: And then on the free cash flow side of things; one, just to step up of anticipating in CapEx in 2019. What that's going toward is 4% more of a sustainable rate or is that more kind of one-time and project specific? And then also related to that, when we think about 80% conversion, what are you thinking on the working capital side and opportunities down the road to improve that conversion rate?
Phil Fracassa: So on the free cash flow, I mean, obviously the step-up -- we expect a very strong free cash flow next year, north of $300 million, obviously with higher earnings and probably -- obviously and less working capital build certainly than we had in 2018. Speaking specifically to the CapEx, we've talked before about of averaging around 4%, although we have talked about the acquisitions coming in at a lower level than that. So somewhere between that 3.5% and 4% would be normal. And as you look at 2018, we do have some capital allocated to some capacity additions in Asia, as we've talked about adding some Process Industries capacity, specifically to serve some of the larger-sized bearing products globally. So that will be coming online. We've got some spending there for that and normal maintenance and then really a variety of other, what I would call, small capacity additions or margin expansion opportunities. So it's well within the range of what we've guided to in the past and what we've targeted in the past. And as we move forward, I think, 3.5% to 4% is probably a good number to think about CapEx for Timken going forward. And then on the working capital, because we do have a mid single-digit organic growth built into the plan -- built into the guidance, we would expect to add some working capital sort of commensurate with that and that would obviously go against the free cash flow slightly getting us down to that $300 million or as you said, about 80% conversion. We also have a one-time where we're going to make it a payout of some deferred compensation to a former executive during the year, which is a reasonably sizable number on the order of around $20 million that will -- that's in there as well. And otherwise, we'd be a little bit north of that number.
Joe O'Dea: And then lastly, just a clarification, your comment around pricing, to confirm, did you say of the pricing that's assumed, basically half of that is already either in their through carryover or what's been announced?
Rich Kyle: Over a half and while there -- and I didn't include carryover in that, but more of it would be essentially as of the first of the year or negotiated for and agreed to for some time in the year than carryover. So there is a step up from what you would have seen, say, in the second half of 2018 and over half.
Operator: We'll now take our next question from David Raso of Evercore ISI. Please go ahead, your line is open.
David Raso: First question related to the discussion about the confidence in the sales outlook. If you could indulge just a little bit with, when you say above 5% in the first quarter, I think we're all just trying to figure out how much can we assume things flow and you still feel comfortable that with the 5%? Can you help us at all with the cadence and I know the backlog numbers don't usually come out until the 10-K, and in general, the backlog, maybe not the most reliable aspect for the way your businesses run, but could you maybe indulge us with where the backlog is at the end of the year for each business?
Phil Fracassa: Yes. The 10-K backlog will be up a lot. And as a percentage and in dollars and as we always caution, don't bank on that exactly, because there's a lot of apples and oranges in that number. But I would say, the backlog is up year-on-year. It's up sequentially. We're going to grow sequentially from the fourth quarter. January was up sequentially from December, I would say all of that is normal will be north of 5%, as I said. We will expect it to go up again sequentially modestly from the first quarter to the second quarter, which again would be normal seasonality. And then obviously, we will update it when we get there, but what's in this guidance is that the second quarter would be the high point organically for the year for both revenue and EPS. And then we would see some modest softening in Q3 and Q4 again fairly similarly to what we saw before. So north of 5% and obviously, we just came off 9% and I wouldn't see a year-on-year step up from the 9% certainly when you look at the comps, but the backlog orders January all support that number, and I would put that very low risk with 7, 8 weeks left in the quarter.
David Raso: And just in case I missed to this, the second quarter you said the organic sales growth -- the growth rate would be higher than the first quarter? Are you just speaking [Multiple Speakers]…
Rich Kyle: No, sequentially, I would expect that we will -- sequentially, we would go up from Q4 to Q1, sequentially, again, up Q1 to Q2, you will less than what we would have gone up Q4 to Q1, which is usually where our big step-up is, and then a sequential decline from there. So we are guiding 4% to 6% and we're north of 5% for the first quarter and that puts us to get out to the year at the high end or above that range to start the year.
David Raso: Yes, I mean, I was just trying to think about to derisk guide a little bit how much you have upfront. So, I mean, sort of a cadence of up 7%, then up 5%, up 4.5%, 3.5% kind of gets to 5% and I think we're all just trying to gauge -- I think your business has a little more longer cycle aspects to it than a lot of people just sort of gauge it as all short cycle, but your confidence in the first half and your visibility, can you give us some indication where any risks to some businesses where historically you've seen production schedules change dramatically that at this stage what you're hearing from your customers feels a little more secure than maybe other moments of uncertainty?
Rich Kyle: So, I think -- first, I would say, your point on late cycle markets is accurate, and as you look at our Slide 9 with industrial distribution and general industrial over there, those tend to be a little later cycle. They also tend to mix this up. And again backlog is good. Orders through January are good. As you get into specific question where we have seen cuts and changes that we wouldn't have foreseen, again, I would say, we're in pretty good shape for the next two to three months. I mean, it's more of a question probably for the later second quarter and beyond that. I mean, where that's happened before -- automotive, heavy truck and off-highway would be the places where those markets can move, and again, we've got some conservatism in the second half baked in into that, but continued year-on-year growth.
David Raso: And last question, I'll pass the baton, a small nitpicky on the fourth quarter. The interest expense surprised me negatively. Phil, can you help us a bit of trying to think to a run rate, interest expense on why it was so high in the fourth quarter?
Phil Fracassa: So it really goes back to the acquisitions that we closed on the third. We did put some financing in place for the three acquisitions just given the amount of money that we spent and only really caught a little bit of the interest in the third quarter, just given the timing. So I think as you're looking at 2019, if you were to take the fourth quarter interest expense and annualize it, you'd be roughly in the ballpark of what would be a good estimate for 2019.
Operator: We will now take our next question from Ross Gilardi of Bank of America. Please go ahead, your line is open.
Ross Gilardi: Maybe on, we can start off with Mobile and your ability to get to the 12% margin, and some of the price increases that are out there. I mean, are they being supported in the market? I mean, some of the bigger OEM customers that you have seemed to be struggling a little bit on price-cost and I'm just wondering if you're seeing increased pushback on some of these price increases in the market, maybe demand softens up a little bit around the edges?
Rich Kyle: Yes. I think Ross, as we've talked before, when it comes to OEMs, I would say, we always have pushback even if they know our steel costs are going up and their steel costs are going up. So it's never an easy commercial discussion, but we -- I think we've done it two years a row in '17 and '18 where we have moved price not so much in Mobile in '17, but more in '18 and now again in '19 where we have done it and managed to pick up share as we've gone along and done that, and feel pretty confident that we're going to be able to do it again in '19. I would also say though on Mobile margins, price is important to getting those margins to 12%. the volume while more modest in the last couple of years is also important. And then there's also a mix factor in there. And that mix includes rail and that also includes the '17 and '18 acquisitions which have mixed this up in Mobile. And then I also say that we have a fair amount of -- while we have a fair amount of cost increases coming out, we also have a lot of self-help offsets on the cost side from the ABC Bearings acquisition bringing on a low-cost manufacturing plant with capacity for us the two Eastern European plants, productivity improvements and some of the capital that we put in last year. So it's not at all price.
Ross Gilardi: And then on Process, guiding margins flattish, I mean, do you kind of see stabilization here with an eventual push higher, I mean, you mentioned some amortization and some new capacity in Asia. Could you help quantify what those two factors, maybe you're -- and is a fair way to look at it by stripping those out like what the underlying margin you're assuming? In 2019, is it actually going up?
Rich Kyle: Yes, I mean, I would say, Ross, I think you've hit it. So in Process, we've always said, once we're north of 20%, I mean, we'd rather grow and stay north of 20% than necessarily run those margins of the size they could possibly go just because we probably end up shrinking. But really saw strong margin expansion in Process in '18 as you saw and as we look to '19, little bit of the opposite of Mobile. So while the acquisitions mix Mobile up on the EBIT line, the acquisitions without that amortization actually mixing Process down a bit on the EBITDA line, the acquisitions are mixing Process flat to up. So it's positive from that perspective, but when that purchase accounting amortization comes in, that is a slight mix down; we do have more tariffs obviously in Process than we do in Mobile. And then the other thing to keep in mind too is relative to capacity. I mentioned in my remarks, we invested in Mobile a couple of years ago, we're sort of reaping the benefits of that now. We've actually got some new capacity coming online in Asia in 2019. That will help facilitate growth in Process Industries. So it's absolutely a great thing. But as you know when this capacity comes online, it does have to ramp and while it ramps, it can be a little bit of headwind for us. So while we expect strong volume, strong pricing, positive price-cost in Process once again with the M&A and the capacity in particular will be a little bit of offsets to that and that's we're guiding to roughly comparable to 2018, and could there be some upside to that margin, sure. If we didn't have the M&A or the new capacity, would it be higher than that, absolutely. But we feel really good about what we're doing in the portfolio in Process and in our ability to sustain those margins for years to come [indiscernible]
Ross Gilardi: That capacity -- can you quantify [Multiple Speakers], just can you quantify that capacity increase into like, what does it due to your supply? Is it 5% capacity increase or whatever the number is? and is any of it pre-sold? I mean, is that associated with a couple of big customers where you've got a commitment to buy a lot of that output already? Or can you just sort of put -- are you just putting in place and assuming the market is going to grow?
Rich Kyle: I would say more the latter. We've had a consistent CapEx strategy where we've invested in '15 and '16 when we were not growing organically and again, maybe a little bit more of that was cost, but it was also capacity related. We're coming off two strong years of organic growth. Looking at a third year of good organic growth and I would say this is putting capacity and to assure that we could have a fourth and a fifth as well. So, certainly, some of it would be pre-sold, to use your term, like in wind, we certainly have some contractual arrangements out there that we're working on that would consume some of this capital. But a lot of Process Industries is not on contracts and a lot of the distribution business is not. So I would say it's more consistent with where we believe our markets are going long term. The one other comment I was going to add, Ross, in my prepared comments to follow up on Phil's comments on the mix, in my prepared comments I said our corporate mix is very good, I think, both to support our organic revenue as well as our margins within Process. As Phil said you get that acquisition impact, you also have -- we're expecting a very good year in wind and as we said before, wind is good from a corporate EBIT perspective, but also mixes Process Industries down a little bit on the flip side that industrial distribution is going to have a good year as well, but wind is is a factor in that as well.
Operator: We will now take our next question from Chris Dankert of Longbow Research. Please go ahead, your line is open.
Chris Dankert: I guess thinking about Asia more holistically -- obviously, great growth in the quarter. You provided some of the detail around that. I guess, is it worth breaking out China specifically versus India and some of the other regions. Just how you're thinking about it, more granularity into in the '19. Just kind of what the drivers are there exactly.
Phil Fracassa: Yes, I would say, as you know, we listed China on the chart that Rich reviewed just because we wanted to list some of the larger markets and some of the markets that are probably getting the most questions. I mean, we expect really solid growth in China, as you saw, up mid-single digits and then probably similar, I would say, comparable in India as well. And the reason why we want to put China on there is obviously a lot of talk about China, Rich covered it in his remarks, but our mix is relatively unique in China relative to some of our other competitors, and we are not as heavily exposed to be on-highway, we are more exposed in the industrial markets and some of the heavy capital goods like wind and metals and those markets continue to trend upwards. So while there's certainly a lot of uncertainty in China and a lot of negativity particularly around on-highway cars and trucks, our mix really sets up well for 2019 and gives us confidence that we expect to be up mid-single digits in China and then in India, we're a little bit broader in some of our end market exposure in India and expect another up year there as well.
Rich Kyle: We are a little more Mobile in India and a little more Process in China, so rail, heavy truck, off-highway equipment in India. And that's a little bit of us and that's also a little bit of the market, it's not a huge metals market. It's -- and the wind market is smaller. So I think -- with that market mix a little bit heavier in Process Industries, but both good growing markets, not only in 2019 but long term for Timken.
Chris Dankert: And then, I know you guys commented a bit in the prepared remarks about capital deployment allocation. But with the stock where it's at and kind of M&A being somewhat expected at the moment, can you just put a finer point on how you're thinking about buyback versus M&A where the opportunities are, what the pipeline looks like that type of thing?
Rich Kyle: I'll take the buyback part first. We think buybacks are a very attractive use of our capital and bought back a fairly sizable amount of shares in the fourth quarter as a result of that. I think it's a good option today and would -- at a higher price frankly as well. So certainly, we've done a lot of buyback and I would expect over time we would continue to do a lot of buyback. As I said in my opening comments, as we start the year coming off just buying back 2.3 million shares, almost 1 million in the fourth quarter. I would expect our buyback to start out the year slow as we see how the year develops. If we get to anything that we're looking at it from an M&A perspective, we certainly balance both the short-term and -- as well as the long-term accretion and return, and where our stock has been, it puts a pretty high bar out there as we've talked about in past for M&A. Then on the pipeline, we still are active in working our pipeline. Certainly, our focus so, I would tell you, is on making the three acquisitions that we just did at the end of 2018 as successful as the three that we did in 2017. And they're off to a good start, but that is a greater focus of ours at the moment than adding another one.
Operator: We will now take our next question from Joe Ritchie of Goldman Sachs. Please go ahead, your line is open.
Ashay Gupta: This is Ashay Gupta on for Joe. So, great color on like the organic growth cadence so far, but maybe just extending that to the margin question as well. So you've got 100 basis point margin expansion guide and I just want to understand how you're thinking about it in the first half versus second, could you get like better growth in the first half, but probably a higher tariff headwind, so maybe some color there would be helpful.
Rich Kyle: Yes. It's put that in the -- by segment. So Mobile to be 12% for the full year, we need to be above 12% for the first half. So we're looking for a sequential step up from where we finished the fourth quarter to start the first quarter and probably a little bit in the second quarter, but I'd just say, higher in the first half than the second half on Mobile. Process would not look for meaningful variability through the year, but certainly from a corporate standpoint because of Mobile little bit higher in the first half.
Ashay Gupta: And I guess just as a follow-up, maybe you could comment on what you're seeing from an inventory level standpoint, both at your like OEM customers as well as distributors, and if you've noticed like a destock that happened in 4Q.
Phil Fracassa: I would say when we look between what happened at the end of the year and to start the year in total, our customers were playing inventory a little tight and we see that fairly regularly in the quarters and a little bit more at the end of the year. From a broader perspective versus what happened on December 20th versus January 10th, I would say, inventory in the channels we believe is in a very appropriate place for modest growth. So don't see a big boom from the restocking or a big threat of a reduction.
Operator: We will now take our next question from Steve Barger of KeyBanc Capital Markets. Please go ahead, your line is open.
Kenneth Newman: I wanted to go back to the $7 million impact that you had mentioned on the EBIT bridge, it sounds like you -- that was a headwind from lower absorption due to high inventory build last year. Any color on how you expect those headwinds to kind of flow into 2019 and what you can do to mitigate those costs?
Phil Fracassa: Yes. So I think it was -- we just wanted to point out there, Ken, that obviously we talked about managing inventory through the year. We've built through the fourth quarter last year and actually took a little bit out -- not a lot, but it take a little bit of inventory out in the fourth quarter and that produced the bulk of that difference that you see as well as kind of normal inflation on the manufacturing line. So as I said, going into '19, we do expect some inventory build commensurate with the organic growth that we expect. So that will be a little less of a build certainly in '19 than we had in '18. So we've -- I got to overcome that, but as Rich mentioned, with some of the cost reduction initiatives that that were put in place in our plants around the world, we would expect to offset a fair amount of that impact, if you will, and then still deliver the 100 basis points margin expansion with the volume, some of the mix benefit as well as positive pricing.
Rich Kyle: I would say too, my comments from seasonality, that '17 would have been a little bit of the outlier where we would typically not build inventory in the fourth quarter of a year, but in the case of '17 with what we saw happening in the market, we thought it was in our best interest to do so. I think '18 is more indicative of what we would see '19, which would again with assuming our outlook calls and that we're slightly down in the second half. We would typically be flat to down a little bit in inventory in the fourth quarter and I think that would be more indicative of what we're thinking in 2019.
Kenneth Newman: Got it. And then from a capital plan, could you just remind us what you're doing -- at least a little bit more color in terms of the efficiency initiatives. Is there more room for automation or other rapid payback programs and just how you're thinking about capacity and labor in general? Are you running overtime at times or can you get everything out with normal production hours?
Phil Fracassa: I would say we are running efficiently today. We are, I think, expecting within Mobile, as I said earlier, to leverage some of the things that we did through the course of last year and run more efficiently in the plants that we have, and then also generally our increased volume is coming out of improved cost position plants, such as our two newer Eastern European operations. In regards to your question around capital, I would say, we definitely have opportunities. We've been doing that fairly systematically and I think all of that is accounted for in our long-term outlook of 3% -- 3.5% to 4% CapEx as a percent of sales. I don't see us jumping that up dramatically to take advantage of automation opportunities, but certainly as you will get a chance to go through our factories and see where we put capital in the last 10 years versus where we're running assets that are older than that, you would see improved technology of things like vision, inspection, technology, more robot, material handling, fewer operators in general and, yes, it definitely presents opportunities for us, but we have found in general a systematic approach to that has been the best way and we feel very confident that what we are doing today in our footprint, we can compete and win in the marketplace and make good returns.
Kenneth Newman: And then just one last quick one from me, you mentioned the M&A pipeline remaining pretty active. Just curious, any change to the private market multiples given some of the public market concerns that we're hearing out there?
Phil Fracassa: Certainly, as recently as what we did in the third, fourth quarter of last year, I would say, no. And I would say, can't really comment on that because we haven't seen much happened here in the last two or three months that we've been involved in. So I think that we would have to see how that plays out through the course of the year.
Operator: And now take our next question from Justin Bergner from Gabelli & Company. Please go ahead, your line is open.
Justin Bergner: Most of my questions have been answered, but just to start, would you be able to give a little bit more color on the individual acquisitions, particularly the larger ones, how they're performing maybe breakout sales in the fourth quarter?
Phil Fracassa: Actually, we break them out. We've got the sales for the three of them. Let me touch on each of them. So, ABC Bearings, really a play for didn't bring a lot of new product, brought certainly some new customers and some increased exposure to India. But really, it was a fast way for us to accelerate our manufacturing and product presence and market position in India; brought to us capacity that was not utilized and it's a fast-heavy integration into our bearing business with a focus on growth and cost opportunities and we will see benefits from that as soon as the second quarter of this year, as we get it a couple of quarters behind us. So that's ABC Bearings. On the Cone Drive standpoint, mix -- they serve multiple markets there. I would say, first, we were very interested in getting a position in the solar business. The first four months of the solar revenue was way above anything they've done historically and well above what we had modeled when we did the deal and the outlook for 2019 is also above. They have a small robotics position that they've invested heavily in prior to our acquisition, that has quite a bit of upside in revenue, got a modest plan there but what we've seen of that since the acquisition from the inside, I think makes us even more excited about the potential of that than what we saw from the outside. The core of the Cone Drive business in the U.S. is double-enveloping worm gears, right in the heart of Timken markets of oil and gas, industrial distribution, et cetera, done an enormous amount of sales cross training there, really excited by the product line. We know that product line for so many years. Cone has been a customer of Timken for decades, working on a lot of synergies there with our industrial distribution customers, consolidated shipments, ease of ordering, et cetera. And then also do some things and slewing E drives for construction equipment around the world that we're looking to accelerate with our global presence as compared to what they had. So I would say everything there we've seen has been encouraging and both revenue, cash, EBIT, all running through five to six months now, ahead of where we would have modeled and they all looked good. Rollon I foot a little bit more toward the product side and probably replicate what I said with Cone from the outside since we've gotten on the inside; really excited about the application -- the potential for application of this technology and a lot of places. The management team there has done a very good job of growing that business steadily for the last several years and we see as a part of Timken, really the ability to accelerate it and particularly in the US and Europe where again they lacked a lot of scale and done admirable job for a small company of building a market position in those two markets, but I think with Timken, we will be able to do that faster. As we said when we bought that business, high EBITDA margin business and I'm see nothing that would tell us that that is not sustainable and can put a very high growth rate on it. So all three off to very encouraging starts.
Justin Bergner: Great, thanks for that detail. So it seems like your view on '19 is at least as positive for Cone and Rollon today as when you acquire those assets.
Phil Fracassa: Yes, more so. I would say, Justin. The run rate revenue on them is growing and is above what we would have shown here when we bought the companies, and as Rich -- I think the most positive thing ism they're growing, they're innovative, EBITDA margin significantly accretive to Timken and then even accretive at the EBIT margin level and that's just -- and they're generating cash and it's just positive all the way around at this point.
Justin Bergner: And then just two quick questions, if I may, the add back between GAAP and -- GAAP EPS and adjusted EPS, it all relates to sort of restructuring type cost that doesn't include any non-pension, right?
Phil Fracassa: it's actually -- in the current quarter, the two biggest things, Justin, would have been the pension mark-to-market charge in the quarter of about $10 million pre-tax and then we also had the acquisition-related charges. So when we buy -- when we made the acquisitions, we've got right inventory up and things like that, and when that turns, it's unusual in nature, so we typically adjust for it to take it out of the adjusted earnings.
Justin Bergner: Okay, as for first quarter 2019?
Phil Fracassa: 2019 will be a little bit of carryover on the acquisition-related stuff and then the rest would be normal restructuring.
Justin Bergner: And then lastly, the acceleration in wind in 2019, is that market or is that more sort of project wins and your ability to outgrow the market?
Rich Kyle: Both, good market in China and we are more than holding our own and we've been I think steadily increasing penetration and so sum of both.
Operator: We will take our final question from George Godfrey of C.L. King. Please go ahead, your line is open.
George Godfrey: I just had one question. You're targeting free cash flow to be 100% of net income, not -- probably not this year but probably goes to 2020 and the outlook for this year, very positive with organic growth, margins are going to expand. And I heard your comments about how you're thinking about the capital allocation and the share buyback, but my question is, given where the stock is and free cash flow $300 million this year and market caps about $3.2 billion, I don't understand why you wouldn't get more aggressive on buying back the stock at this price if revenue margins outlook, free cash flow so strong, it just seems like a really opportunistic time to do so to be much more aggressive than opportunistic and budget? Thanks.
Phil Fracassa: Thanks, George, for asking. Yes, so I think it's a great question. I think as we look at it, we allocated a lot of capital last year to the three acquisitions we talked about. And so when we think about our capital allocation framework, it hasn't really changed. We'll start first with, let's invest in the business, maintain a strong balance sheet, I mean, that's obviously very important to us to keep the balance sheet strong. And then as we look at -- we have the ability to -- we're going to continue to pay our dividend obviously and then look to do M&A or buyback as we see opportunities. And I think given what we bought back last year, we'll continue to look at it as we move through the year. But given what we bought last year and what we bought in the fourth quarter, I think as Rich said, our approach at least to start the year is going to be, let's continue to allocate cash to debt reduction, continue to look at bolt-on M&A and then continue to evaluate buyback as we move through the year. So we've been, and I think probably the word that would describe our capital allocation approach for the last five years has been balanced. And we've been balanced across all those tenants, if you will. I think that will continue. And on the heels of buying back 2.3 million shares, don't forget we've got CapEx this year coming up, we got to pay the dividend and then what's left over, we'll evaluate and put it to its highest and best use, if you will.
Operator: There are no further questions at this time.
Jason Hershiser: Thanks, John. And thank you everyone for joining us today. If you have further questions after today's call, please contact me. Again, my name is Jason Hershiser, and my number is 234-262-7101. Thank you, and this concludes our call.